Operator: Good afternoon, ladies and gentlemen. Welcome to the Martinrea International Third Quarter Results for 2019 Conference Call. Instructions for submitting questions will be provided to you later in the call.
Robert Wildeboer: Good afternoon, everyone. Thank you for joining us today. We always look forward to talking with our shareholders, and we hope to inform you well and answer questions. We also note that we have many other stakeholders, including many employees on the call, and our remarks that are addressed to them as well as we disseminate our financial results and commentary through our network. With me this morning are Pat D'Eramo, Martinrea's CEO and President; and our CFO, Fred Di Tosto. We have just finished our board meeting and annual budget meeting. Pat is on the board of the OESA, and they have their annual meeting and conference starting tomorrow morning as a result we’re talking to you late in the day today. We will be discussing Martinrea’s results for the quarter ended September 30, 2019; Pat, Fred and then I will make some brief comments, and then we'll open the call for questions, and we will endeavor to answer them. Our press release with key financial information discussed on a fairly detailed basis has been released. Our MD&A and full financials have been filed on SEDAR and should be available. These reports provide a detailed overview of our company, our operations and strategy and our industry and the risks we face. We're very open to discussing in our remarks, and we hope in the Q&A, some highlights of the quarter and the state of the industry today, how we are addressing the challenges and progress in our operations. As always, we want you to see how we see the world. As for our usual disclaimer, I'll refer you to the disclaimers in our press release and filed documents, and our public record, which includes an AIF form and MD&A of our operating results is available on SEDAR, and you may look at the full disclosure record of the company there. And now here's Pat.
Pat D'Eramo: Thanks, Robert. Good afternoon all. As noted in our press release, our good story continues with Q3 adjusted net earnings per share coming in at $0.53 in the range we discussed in our Q2 call of $0.53 to $0.57. Q3 2019 performance represents our best third quarter today. Our adjusted operating income margin came in at 7.1% for the third quarter, up from 6.9% in Q3 of last year on production sales of $847 million as compared to our guidance of $820 million to $860 million. We were able to produce the results despite the impact of the September portion of the GM strike. The impact of the GM strike was offset with a lot of good effort in Q3. In Q4, the strike left longer than anticipated. Our full month without sales from one of our largest customers could not be offset. This is being compounded by softening the sales in Europe and China as well as a little bit in North America. Due to the strike and softer market, we've reduced our Q4 expectations. Our current forecast for EPS in Q4 is between $0.35 and $0.45. The wider range is due to the unknown makeup volume affect by GM. It's clear they are pushing to make up what's possible the remainder of the year, but the line of sight is not 100%. It will not be possible for GM to make up the volume loss during the strike by the end of the year. What's not made up in 2019 we believe will be made up in Q1 and Q2 of 2020. Our sales range for Q4 is $750 million to $810 million, again the primary variable being the GM volume recovery. We've viewed Q4 as a temporary situation and expect GM to recover the majority of the loss volume somewhere between now and possibly in the Q2 of next year. Other than the GM strike, 2019 has been a great year overall with operations continuing to improve and launches on the whole going well. Our outlook shows sales slowing in Europe. This is particularly noticeable with JLR, one of our larger European customers. The situation is possibly compounded by Brexit. In addition, we’re also seeing some lower volumes in Q4 from nine months. Along with softening sales primarily outside of North America, we are experiencing several new program delays from our customers, this across multiple customers and for us large programs. These delays will affect our targeted sales and margin improvements in 2020. You will recall our 2019 and 2020 margin targets have two key components: sales of new higher margin products and continued operational improvements. For 2020, this includes sales of $4 billion or more and continued operational improvements led by our lean activities in our operations as well as great launches. Our new programs come in with event that a meeting or exceeding our established hurdle rates making new work more profitable and having to report our lean activity and launches continue to go well. I’m particularly pleased with the operational improvements. I could argue that some of our plans are now benchmark in the industry. That portion of our plan remains on schedule and within our control. Related to our customers, we are seeing many new programs, delays and slower ramp-ups than originally planned. Most of the delays are six to nine months moving out over 200 million of projected production sales originally planned for 2020 into 2021. The delayed programs include the Jeep Grand Cherokee, Nissan Rogue and Pathfinder, and Ford’s new product in its Hermosillo assembly plant meant to replace Ford Fusion, all of which are large and impactful programs for us. These programs represent in excess of $400 million of full annualized sales at peak volumes. A dollar a new model of sales were launched as more margin than most current production. The re-timing of our customer new model introductions, will push our 2024 billion sales target into 2021 along with that, our target of 9% operating income will move into 2021 as well. Despite the expected flat sales and delayed launches a new programs, we expect our margin to improve year-over-year exceeding our original 8% target for 2020, assuming customer programs remain on schedule. It’s been a challenging few months between the GM’s driving some softening volumes. I’m very proud of team’s response to the volume shortfalls, reducing costs, flexing labor where possible and making improvements on the operation at even a faster pace. Finding cost savings throughout the enterprise to bring in a record Q3. We have a great team willing and able to do whatever is necessary to keep the go forward momentum at Martinrea and it’s great to be a part of it. Thanks again for all your hard work. With that, I’m going to hand it over to Fred.
Fred Di Tosto: Thanks, Pat. As Pat has already noted the third quarter was another strong quarter for us, a record third quarter from a sales and earnings perspective. Q3 production sales and adjusted net earnings per share both came in within the range of our previously announced guidance. And this despite the destruction of the GM strike for two weeks during the month of September. As Pat has already noted, the team done a great job of reacting to the headwind resulting from the strike and on delivering Q3 earnings in line with expectations aided by strong results in our Rest of the World segment. However, as Pat has already noted, the impact of the strike Q4 was far greater and cannot be offset compounded by some other volume headwinds. It’s not easy when your largest customer is a significant work stock, which for an extended period of time. As a result of the strike, the loss of about $20 million of production sales in September and approximately $70 million in October, so overall the impact was significant. We’re obviously happy to the strike is now over. It was a temporary blip. We expect most of the lost volume to be made off over time, just not in the fourth quarter if you can tell by our Q4 guidance, sat them along and put the matter behind us. Outside of the strike, 2019 has been and will be a good year for Martinrea. Overall, I’m very pleased with the Q3 year-to-date financial performance. We delivered solid adjusted margin and earnings, very much in line with expectations despite the volatile global environment and generally outperforming our peer group from a margin perspective. Our Q3 year-to-date adjusted operating income margin was 8% and this despite the September impact from the GM strike and abnormally high two in the sales which tend to be at low or no margins. We’re very much training to be north of 8% for the year before the strike kicked in, in line with our 2019 target. And this is the overall softness in volume, predominantly outside of North America. As such, we are very happy with the overall progress we’re making as an organization and our ability to deliver. We keep getting stronger every year in 2019 is no exception. I do like to thank the Martinrea team for their hard work and dedication. I’ve said so many times before we are making a difference. Another important positive this year has been our free cash flow profile. They’ve been very consistent with their messaging on this topic. We have said for quite some time that you start seeing our free cash flow profile turn positive in 2019. And I'm happy to report that our year-to-date performance reflects that. We were free cash flow positive and Q2 and again in Q3. We generated free cash flow as defined in our MD&A, a $39 million in Q3and $75 million year-to-date. With the cash generally used to buy back shares, make some incremental investments in NanoXplore we pay down debt. So overall a good result and in line with what we have been saying. We expect this positive trend to continue heading into 2020 as promised and in line with our new Board approved annual business plans. Lastly, I just wanted to touch upon our balance sheet for a moment which continues to be strong. Our net debt decreased during the quarter with net debt to trailing 12 months adjusted EBITDA, excluding the impacts of IFRS 16 and in the quarter at 1.45 times very much in line with our targeted range. We have a strong balance sheet within this industry and are committed to keeping it that way. A strong balance sheet in addition to providing us the flexibility to invest for growth and capitalize on opportunities helps us with our customers. Our customers frankly like companies with financial strength as they know we were there for a long term. It also creates opportunities when customers have supplier problems they need solved. We can and are there to help them like we have done so many times before. As such we will continue to maintain a strong balance sheet as we execute on our capital allocation strategy. Thank you with that. And I'll turn you back over to Rob.
Robert Wildeboer: Thanks, Fred. Some very brief comments on our industry. The industry has been seeing some challenges but we believe we are seeing some positive signs now. Trade issues for North America, and for China and Brexit, are showing positive signs of getting resolved. The U.S. MTA may get signed this year, we'll see. Labor issues are also getting resolved as the GM strike is over and there's a deal coming for the other OEMs also. Both have been issues facing the industry. The underlying economy in North America and elsewhere is showing resiliency and some positive signs such as low interest rates. Also, I think, we may be seeing some positive sentiment in the public markets. People are still going to buy vehicles and a lot of those vehicles will have our product on them. Volumes, while off, are still pretty good. We should be able to make money in this environment, good money. With our strong financial performance and cash flow we will continue to invest in the business, maintain a strong balance sheet, make solid strategic investments, and acquisitions where appropriate and invest in ourselves by repurchasing shares where it makes sense. In the third quarter we did renew our normal course issuer bid and bought over one million shares. We also increased our investment in NanoXplore. We believe our company is performing very well on an absolute and relative basis and the challenges and opportunities in the industry provide opportunities for us. In a flat overall market this company and our team are doing a fantastic job, evidenced both by our absolute results and our improvements in key metrics relative to our peers. We continue to write a great story. Our team is delivering well. I would like to thank our people for their efforts and our customers for their support. Now it's time for questions. We see we have shareholders, analysts, and competitors on the phone, so we may have to be a little careful with our answers, but we will answer what we can. Thank you all for calling.
Operator: Thank you. We'll now take questions from the telephone lines. [Operator Instructions] We have a question from Peter Sklar from BMO Capital Markets. Please go ahead.
Peter Sklar: I had some questions about your geographic segmented reporting. So if you look at your European operating profit, I believe that essentially doubled year-over-year. And so I'm just wondering on an adjusted basis. So I'm just wondering if you can talk about what's going on in Europe?
Pat D'Eramo: Yes, Europe, it’s increased substantially year-over-year, but in Q3 last year, the quarter was impacted by some higher than normal launch costs as well as some mix issues. And we also had significantly lower JLR volumes during that quarter. So was that normally low. So that's kind of explains the baseline and then the increase to 8.8% for the quarter essentially is driven by improvements lower launch costs and some positive mix. And we've been at the 8% range in the past. The thing is as European segment is not that big in the grand scheme of things for us. So when there's movements there, they become more visible. And that's why you kind of saw the – a bit of a flux in the quarter. I was positive. But nonetheless it was a movement for the flux.
Peter Sklar: Okay. And then similarly for your Rest of the World segment on an adjusted basis, I believe it was $6.7 million of operating profit. I don't believe it's ever come anywhere close to that level of operating profits. So I’m just wondering what's the story there?
Pat D'Eramo: Yes. And it's similar story there. It's even smaller. So when there's a movement, it's very noticeable. And I don't want to get into specific margin discussions by program or customer there, but we had a very positive mix during the quarter that helped the margins in that segment. In addition to that, as you know, we also performed some restructuring in Brazil as well as in our China Ford’s facility earlier this year. And we're starting to see some benefits coming from that.
Peter Sklar: Okay. And then lastly, I just wanted to ask, in terms of the operating profit of your North American segment like we know the impact of the GM strike, but taking that into account, were you satisfied with the level of profitability in that segment or were there any issues during the quarter?
Pat D'Eramo: I would say, generally speaking, we're satisfied as we note in our opening remarks, the team did a good job in reacting to the strike headwinds. Another variable that played into our margin percentage in North America is the higher than expected tooling sales. So we've been talking about that the last couple quarters. So some of that came in Q3, I'm expecting more to come in, in Q4. So for the year our tooling sales are going to be abnormally high. Let's call it in and around $400 million and that's anywhere from a $100 million to $200 million higher than our normal levels. So that's impacting the percentage. But overall I think North America reacted as best as they could, in terms of as it relates to the segment to the headwinds resulting from the GM strike.
Peter Sklar: Okay. Thanks very much.
Pat D'Eramo: Thank you. Have a good night.
Operator: Thank you. The next question is from Kevin Chiang from CIBC. Please go ahead.
Kevin Chiang: Hi, thanks for taking my question and I apologize if you mentioned this in your prepared remarks earlier. I did get on late. Just as you look onto 2020, you have some targets in terms of sales and margins. I’m just wondering how you think about that as we enter into next year, especially as you think of that some of that lost GM work potentially being a tailwind next year. It like as you make up for some of that loss production.
Pat D'Eramo: Yes. We'll see some of that made up. Like we said this year, we know they're going to push as much as they can into the fourth quarter, but certainly they're not going to be able to make the impact that they lost. So we expect to see that in the first quarter and into the second quarter most likely. The inventories aren't terrible by any means for those vehicles. So I think there'll be smart about it and try to do it wisely from a cost point of view. But certainly we expect to see, I don't know if it's going to be a significant increase or they'll level it through the two quarters, but I certainly think, especially on the trucks that they're going to do whatever they can to make those up.
Kevin Chiang: Okay. And I guess like the $4 billion in top line and roughly 9%, I think over 9% EBITDA margin, those are still based on what you see with GM and your overall macro view, those are still achievable targets in 2020?
Pat D'Eramo: I think the bigger problem in 2020 is we've had some substantial delays from some key programs. And as I stated, the new products, they meet our new hurdle rates and so they're more profitable overall. And we've had delays of what's going to be an annualized basis over $400 million a year. So that's going to potentially, at least, unless we see some other tailwinds, push the $4 billion into 2021, which would carry the 9% into 2021. 8%, originally targeted for 2020, we'll continue to, I think exceed that, but the 9% will be very volume dependent. And these launches have already been announced as played. So I don't see that changing by any means. And these are big programs for us as well.
Kevin Chiang: That's helpful color. And then just on Europe, when you look into next year with the new CO2 regulations, do you have a sense of how that, and I know that’s not a huge part of your business, but how you see that playing out? And do you feel the OEMs prepared there? Or are you expecting a heightened level of volatility as you look at the next 12 months in that continent?
Pat D'Eramo: In North America I don't see an impact. We see a lot of our FQs on – in our electric vehicles and we're bidding on a number of those. But those aren't something that are – that you're going to see any massive change in the next few years. I think you'll see Europe is being more reactive to those things. And certainly as we know China is as well. But I'd say for 2020, I don't see anything significant.
Kevin Chiang: And just last one for me. Thank you. Just last one from me. Your investments in NanoXplore, can you remind me, are you working on anything with them? Or is this just an equity investment in a company that's advancing working in graphene? Or are you preparing to do anything with them? Any color there would be helpful.
Pat D'Eramo: Yes. So we're a big believer in the materials, so we're definitely an investor, but we are also working on a number of products. My expectation is we'll see potentially one of those products available for sale in 2020 if all goes based on our testing so far, which implies we'll be ready.
Fred Di Tosto: From the investor side, we're encouraged by the prospects. As we noted, we increased our ownership level in the company to 25%. But separate and apart from that we have development agreements and we're working with them on a number of products.
Kevin Chiang: That's very helpful. Thank you very much.
Fred Di Tosto: Thank you.
Operator: Thank you. [Operator Instructions] This concludes today's question-and-answer session. I would like to turn the meeting backward to Mr. Wildeboer.
Robert Wildeboer: Well, thank you very much. Appreciate the people that came on the call for the evening. Once again, they said we normally do the call in the morning, but we have some industry commitments. If any of you have questions for any of us, the phone number is on the press release, feel free to call Pat, Fred or me. Have a great evening.
Operator: Thank you. This conference has now ended. Please disconnect your lines at this time and thank you for your participation.